Operator: Ladies and gentlemen, good day and welcome to Wipro Limited Q4 FY '24 Earnings Conference Call. As a reminder, all participant lines will be in the listen-only mode and there will be an opportunity for you to ask questions after the presentation concludes. [Operator Instructions] Please note that, this conference is being recorded. I now hand the conference over to Mr. Dipak Bohra, Senior Vice President, Corporate Treasurer and Investor Relations. Thank you and over to you, sir.
Dipak Bohra: Thank you, Yashashri. Warm welcome to our quarter four FY'24 earnings call. We will begin the call with the business highlights and overview by Mr. Srinivas Pallia, our Chief Executive Officer and Managing Director; followed by updates on financial overview by our CFO, Aparna Iyer. Afterwards, the operator will open the bridge for Q&A with our management team. In this call, we also have our CHRO, Mr. Saurabh Govil on the call. Before Srini starts, let me draw your attention to the fact that during this call we may make certain forward-looking statement within the meaning of Private Securities Litigation Reform Act 1995. These statements are based on management current expectations and are associated with uncertainties and risks, which may cause the actual results to differ materially from those expected. The uncertainties and risk factors are explained in our detailed filing with the SEC. Wipro does not undertake any obligation to update the forward-looking statements to reflect events and circumstances after the date of filing. The conference call will be archived and a transcript will be available on our website. With that, I would like to hand over the call to Srini. Thank you.
Srinivas Pallia: Thank you, Dipak. Good evening and good morning, everyone. Thank you for being here today. I'm honored to be here as a CEO of this remarkable organization. My memories of joining Wipro in February, 1992 straight from the Indian Stock Science Campus are still fresh in my mind. I have been with Wipro for more than 30 years. I'm proud to say that it's such a unique company. The way it has combined profits and purpose, very strong global brand present in over 60 countries leading in technology and committed to sustainability, diversity and inclusivity. As you know, I’ve been in the CEO's role for about two weeks now. Through internal and external conversations and the press reports I've read, I'm aware of the high expectations for my role. Despite my extensive experience as a business leader, stepping into the CEO's role for the first time feels profound, especially when it comes to leading this iconic institution. As I go through the many emotions of this transition, one thing stays strong, my unwavering belief in Wipro, our values, our people, our clients and of all our resilience. Last year, post big challenges for the whole industry. It has affected Wipro's performance too. The economic environment is still uncertain and there might be more challenges in the short-term. However, the opportunity before us is limitless. We are on the brink of a major technological shift, every client I talk to across all industries is eager to leverage AI to shape the future of their business. And at Wipro, we have been gearing up for this moment, we have made substantial investments to strengthen our capabilities across the organization. We have a global and diverse team. We have made bold moves in M&A, acquiring companies like Capco and Rizing, which have boosted our consulting capabilities and we have simplified our operating model. The building blocks are firmly in place and I'm committed to expanding on this even more, while I remain optimistic about the long-term, it's important to be transparent. There's still a consider amount of work ahead of us. Our immediate priority is to accelerate growth. Before diving into the financial performance for Q4 and the full year, I want to discuss the five focus areas we will concentrate to revitalize the company. One, accelerate large deal momentum by working closely with clients and partners. Two, strengthen relationships with large clients and partners and further invest in accounts that are has a potential to grow into large accounts. Three, focus on industry specific offerings and business solutions led by consulting and infused with AI. Four, we'll continue to build talented scale, which is now AI ready and able to deliver industry specific business solutions. And finally, continue to simplify our operating model and focus on execution rigor with speed. As you see, the core tenets of our strategy remain unchanged. What's important is how we build on these five priorities and adapt as necessary to accommodate technological shifts and market conditions. My years of experience in the markets have taught me that integrating strategy with rigorous execution yields tangible results and that's where our focus will remain this year. Now, let me turn to our financial performance for quarter four and the financial year ending March 2024. In Q4, our IT services revenue grew sequentially by 0.1% in reported currency. If you recall last quarter, we had talked about seeing green shoots in our consulting business. That traction continued in quarter four, reflected in Capco's sequential revenue growing by 6.6% and order bookings growing by 43.6%. Now talking of order bookings in quarter four, total order booking stood at $3.6 billion and for the full year it was $14.9 billion. Coming to large deals, in Q4, we won 18 large deals against 14 large deals in the previous quarter. In TCV terms, our large deal bookings for quarter four was $1.2 billion. For financial year 2024, we recorded large deal bookings, TCV of $4.6 billion. This was a growth of 17.4% as compared to the previous year. For FY’24, our revenue was $10.8 billion in reported currency. We continued to increase the percentage of revenue from our top five and top 10 clients. Also, we added three more clients with $100 million plus bracket in FY‘24. Six out of our top 10 accounts grew on a sequential as well as on a year on basis in quarter four. Moving on to margins, in quarter four, we saw a further expansion to 16.4%. This is a 40 basis points improvement over last quarter. We closed FY‘24 with a margin of 16.1% and expansion of 50 basis points for FY‘23. Like I said earlier, we will continue to make investments in building capabilities and strategic acquisitions. In Q4, we took a majority share in Aggne, a leading consulting and managed services company serving the insurance and insuretech industry. This allows us to strengthen our value proposition in a fast growing part of insurance vertical. Expanding on our substantial investments in AI, in quarter four, we launched the Wipro Enterprise Artificial Intelligence Ready Platform with IBM. It's a new service that will allow clients to create enterprise level, fully integrated and customized AI environment. Let me share one example of a win in quarter four that came from an AI powered solution tailored to our consumer business. A leading global apparel brand chose Wipro as its strategic partner to implement GenAI solutions for driving their digital transformation. This actually involves implementing large language models to improve search, recommendation engines and enable hyper personalization at scale. All done responsibly. Before I hand it over to Aparna, let me share our guidance for Q1. We are guiding for a sequential growth of minus 1.5% to plus 0.5% in constant currency for Q1 ‘25. We expect margins to stay range bound like in the last few quarters. Here the next few months will be crucial as we steer the company towards growth. As a passionate hiker, I deeply connect with these words from Junko Tabei, the first woman to climb Mount Everest. She said, even if it is hard you can reach the peak, if you climb step by step. Of course, I seek the trust and continued support of all of you, our clients, our associates, partners and media as we move forward. Thank you. Let me now hand it over to Aparna to share more details on our financial performance. Over to you, Aparna.
Aparna Iyer: Thank you, Srini. Good evening and good morning, everyone. Let me highlight to you our financial performance for Q4 and full year ending March 31, 2024. On IT Services revenue for Q4, we delivered a reported currency growth of 0.1% sequentially and minus 0.3% in constant-currency terms. For the full year -- for the financial year ‘24, IT Services revenue declined 3.8% year-on-year in reported currency terms and 4.4% year-on-year in constant-currency terms. Let me also give you some color on our market unit performance. Please note that all revenue growth numbers are in constant-currency terms. In Americas 1, we continued our momentum of strong booking in Q4. We booked eight large deals in Q4 adding up to a total contract value of $587 million. For the full year, order bookings in TCV terms in A1 grew by 24.9%. Quarter four revenue for this market declined 1.8% on sequential basis, while the full year revenues grew 0.2% year-on-year. Our healthcare sector grew by 18% in full year -- in FY’24 year-on-year. Americas 2 market unit grew 1.9% quarter-on-quarter on the back of strong performance in Capco, BFSI, high-tech and Canada sectors. On a full year basis, the revenue in this market declined by 6.1% year-on-year. Almost 60% of our revenues in this market comes from the BFSI sector. And as Srini mentioned in his speech, we are starting to see a return to stability in this sector led by Capco. In Europe, revenue decreased 0.1% sequentially in Q4 and decreased by 7% on a full year basis. While Germany and UK continue to remain impacted due to slowdown in demand environment, we are seeing a recovery in sectors like Switzerland and Southern Europe that grew 1.7% and 1.6% in Q4. Southern Europe, as a sector grew 14.6% year-on-year in FY ‘24. We also continue to see strong traction on the order booking side in Europe. In Q4, we won five large deals and adding to a TCV of more than $300 million. APMEA revenues declined 2.2% quarter-on-quarter and 4.5% for the full year. Our strategy in APMEA has to be -- has been to move towards high value transformation projects and reduce low margin accounts. The success of our strategy is reflecting in our margin improvement of 235 basis points for the full year. In terms of IT Services operating margins, our continued rigor on improving operational excellence has helped us to expand our operating margins by 40 basis points in Q4. This is after absorbing the impact of two additional months of salary increase in Q4. On a full year basis, our margins are at 16.1%. They've improved by 50 basis points year-on-year. Our net income and EPS for the quarter increase by 5.2%. Despite being impacted by a challenging macroeconomic environment, it is encouraging to note that our EPS for the full year grew by 0.8%. The increase in EPS was after absorbing the one-time restructuring charges of INR6.8 billion during the year. We generated cash flow of $626 million in Q4 and $2.1 billion for the full year, which is at 182.6% of our net income in Q4 and 159% of our net income on a full year basis. This is our highest cash flow in recent years. Our gross cash as a result is at $4.9 billion and net cash was at $3.2 billion. Both have increased year-on-year, despite completing our largest buyback in July of 2023. In terms of some other important metrics that we've always shared, our ETR is at 24.5% for FY‘24 versus 23% in FY’23. Our hedges continue to be in line with our policy. We had about $3.1 billion of Forex derivative contracts as hedges at the end of Q4. Finally, I would like to reiterate the guidance for Q1 2025 stated by Srini, we expect our revenues from IT Services business segment to be in the range of $2.617 billion to $2.670 billion. This translates through a sequential guidance of minus 1.5%, sequential to plus 0.5% in constant currency terms. With that, I now hand over to the operator for questions.
Operator: [Operator Instructions] We'll take a first question from the line of Moshe Katri from Wedbush Securities.
Moshe Katri: Srini congratulations on your role.
Operator: I'm sorry, we're not able to hear you clearly.
Moshe Katri : Can you hear me now? Is that better?
Operator: Yes, please go ahead.
Moshe Katri : Perfect. Srini congrats on your new role here. Looking at the five focus areas that you mentioned, I'm going to look maybe at three of them, large deal momentum. What needs to get done to get there? Are you talking about restructuring sales, sector specific offerings led by consulting and AI? Are we talking about more strategically using Capco given their expertise? And then, you talk about simplifying the operating model, are we planning a restructuring in terms of the various segments of the business?
Srinivas Pallia : Let me answer in terms of the structure and operating model. I said, we'll continue to simplify our operating model but the focus actually will be more on the execution rigor and with speed. That was the key message, Moshe. Now coming to the large deals, we want to create this large deal momentum, and one of the things that we want to do is be more proactive with our clients and with our partners. And the second part of I think, question that you said is, we want to go very specific with the specific business solutions both on the cost transformation side and also the business transformation side, which is a lot more industry focused with consulting led and AI infused. I think that's how we want to differentiate our large deals going forward.
Moshe Katri : And then final question here, can you talk a bit about how you're planning to use Capco? I think you have a very unique asset that Wipro has not leveraged efficiently enough in the past since the transaction. So what's going to be different here under your leadership at Wipro with Capco down the road?
Srinivas Pallia : Consulting for us is going to be a strategic advantage and Capco plays a significant role here, as you said, Moshe. Now, there are a couple of things that we want to do with Capco. Capco for us in the context of BFSI is going to be tip of the spear for us. So what we want to look at is an end-to-end from a consulting led to execution. The entire story is what we want to take to our clients, and we're getting a lot of good traction as we speak. There are places where the clients find it very interesting that is a consulting company can actually execute and manage the end-to-end process areas for them. So we'll continue to collaborate much stronger in front of the clients both leveraging Capco's capabilities and it's going to be a very strategic advantage for us.
Operator: We have a next question from the line of Abhishek Kumar from JM Financial.
Abhishek Kumar: Srini congratulation on your elevation. My first question is on Capco growth. You mentioned, you saw both potential growth and strong booking. I'm just trying to reconcile this with the comments that we hear about discretionary spend, especially in BFSI remains sluggish. So what explains strength in Capco maybe if we can highlight certain areas where Capco is winning deals? That's my first question.
Srinivas Pallia : So your observation right, Abhishek. In the last two consecutive quarters, we have had a sequential growth both in order book and revenues. I think what we are seeing is in the BFSI sector, these are green shoots. We have seen some of the discretionary spend coming to us in the context of consulting. The second part is also wherever we are leading in with the Capco, as a tip of the spear for us, we're getting that advantage around the deals that we are working on. And there's a lot of synergy deals that we are working together going forward. So that's an advantage that we want to leverage. And that's the differentiation we want to do going forward.
Abhishek Kumar : Maybe a quick follow-up on this. Then given the strength here and BFSI is stabilizing, I'm just wondering why this is not translating into slightly better guidance for next year. At midpoint, we still see decline sequentially. So what explains a slightly weaker guidance for Q1?
Aparna Iyer : Just wanted to share with you that the overall demand environment, we don't see a material change. I think it's very similar to how we saw it at the beginning of this calendar year. So the macroeconomic environment and the challenges around slower discretionary spend remains. What we've shared is that we are seeing green shoots in Capco in the set of the portfolio of clients that Capco works with. We are beginning to see some kind of stabilization. And the growth that Capco has shown in quarter four is very encouraging. As far as Q1 is concerned, they are continuing to have stability. Now this is coming in after a few very rough quarters for Capco. So you should read it in that context, Abhishek, okay? Overall guidance visibility, of course, the green shoots of health care and Capco are part of it, but also the overall macroeconomic environment and the softness is also very much a part of it. So this is what we have guided based on what is visible to us now. And that's it.
Abhishek Kumar : So maybe one quick last question. I just noticed a sharp uptick in the top client revenue this quarter. Anything to read into this, is it one-off? What explains such a sharp increase in top line revenue?
Aparna Iyer : Abhishek, you would recall, sometime in Q2, I think we had shared that in a couple of our large accounts, we had own bookings that aggregated to about $0.5 billion each, right? Now one of those clients has actually gone ahead and become our top clients. So we're very pleased to share with you that our top client is now a different one than what we've had for several years. And we're very happy with the progress that we've made. And that's what we would like to share. So that's why you're seeing the movement.
Srinivas Pallia : Abhishek, just to add a few more color to that. Our large deal pipeline continues to be strong and it does consist of mega deals as well. We are also well positioned to sustain and further improve our large deal and mega deal wins going forward.
Operator: We have a next question from the line of Ravi Menon from Macquarie.
Ravi Menon : Srini congratulations from the new role, wishing you the best. I guess the first question is on the top 10. You've seen not to the top line, but even the top two to five, there has been growth. Your BFSI has actually seen pretty strong growth as well. I look at it healthcare, all the things you're doing well. So what -- and the ones that are actually not doing well seem to be relatively smaller segments like communications or high-tech. Could you give us some comment on whether the weakness in these segments is the reason why you're still looking at muted growth outlook for next quarter? Should we expect that in your biggest verticals you're actually seeing growth?
Srinivas Pallia : Maybe I will ask Aparna to give some color to that.
Aparna Iyer : So, Ravi, yes, this quarter for us in terms of BFSI within quarter-on-quarter sequential growth after at least four quarters of being very soft. Healthcare has continued to do well and we will continue to see the momentum build on. We are very happy with both our positioning, offerings and the kind of growth that we are seeing in that sector. [ANU] and manufacturing, the -- we do believe that has been soft for Wipro and there is some muscle to be built. We have a good pipeline. We have interesting deals in the play and we'll see how they convert, more hopeful of getting back to growth in the second half in these sectors. Consumer and life sciences, again, it continues to be impacted by the overall spend environment owing to higher inflation. And as a result, that's -- those are the broad colors that we wanted to share with you from a sector perspective. And therefore, it's a little bit of a mixed bag. So yes, we are seeing green shoots. And we will see -- we see early signs of stability because now we've had two quarters where we've consistently seen not just consulting but other parts of BFSI coming around. But very early to say whether this is deterministically shifting, right? So we continue to remain cautious in that space. We've shared with you an outlook that basically has component of everything that I've just taken you through.
Ravi Menon : And the utilization number at 84.8%, this excludes all the acquisitions, right? So how should we think about where, say, for example, Capco’s utilization might be -- should that be a margin lever if the BFSI demand comes back?
Aparna Iyer : Certainly, we don't share our utilization, including some of the acquired entities that is correct. Overall utilization, even outside of the acquired entities has been -- we've seen a very remarkable progress that we've made over the last four to five quarters in that lever. We are very happy with where we are and we hope to sustain it even as the demand comes back. And maybe we will have to invest for growth at some point in time. But for now, we will try and hold to that utilization. In Capco, certainly, that is a lever. And we've got an incredible asset like Srini said. We have to drive more synergy wins and basically press on the revenue acceleration in Capco and that should do a lot of good to the margins as well.
Operator: We have a next question from the line of Kawaljeet Saluja from Kotak.
Q - Kawaljeet Saluja : Srini many congratulations on your elevation to CEO role. I have three questions for you, Srini. The first one is the fact that you have been with the organization for more than three decades and have been quite a remarkable performer. You cannot say the same thing for Wipro organization as a whole. So what is in your view or your -- what is your assessment for the reasons for Wipro's challenges and aspects of Wipro's business that require a fix?
Srinivas Pallia : Having been here for three decades, all I can say is that if we continue to focus on those five key priority areas that I called out just now and definitely execute that, right, with the speed and the rigor that we need to bring in I think we can make a difference. So to me, strategy with a combination of execution is what can give us the outcomes that we are looking for. The second part, Kawaljeet in the recent past as a -- Wirpo as an organization, we have high exposure to discretionary spending. And hence, we have sometimes the softness on BFSI during those periods. And that could be another factor that you would have seen us grow a little slower.
Kawaljeet Saluja : So you basically think that there's nothing wrong in just those portfolio challenges, et cetera, those are tactical challenges, which are there and just a simple focus on execution would do that trick.
Srinivas Pallia : So Kawaljeet if you look at it the way we are structured, we have got the four markets, right? And each of the markets are different. They have different responses to the macro environment that we are looking at. So that's number one. Second is if you look at Wipro as a company, right, in the last few years, we've gone through a significant transformation. And for a transformation like this, sometimes we have to make some adjustments across the organization and this can lead to different views. I think from my perspective, my vantage point, right, my knowledge of our clients and our business. And of course, the point that you made having the lifelong connections across our company should help us -- move us into actually actions quickly, Kawaljeet. That's what I'm looking for.
Kawaljeet Saluja : The second question that I had, Srini, is that your organization has seen plenty of churn, senior executive churn. So what are the measures that you will put in place to reduce the churn levels?
Srinivas Pallia : Sure, Kawaljeet. Maybe I'll ask Saurabh to respond to that.
Saurabh Govil : Kawal, I must tell you that over the last two weeks, when Srini has taken over and general for among employees that is somebody who started his career in the company has reached very top. So I generally believe that if growth comes back, opportunities are there for people to grow. They are seeing people growing. Aparna is another example for us who started a career. People are -- will be keen and continue to see that this is a place for them to make their careers. So that's what the -- having said that, as Srini called out that structures and strategy are not changing, but leadership will involve where it's a living organization. There will be some people who would move one kind of stuff. But there's no major disruption in the way we have to work, organize our strengths. So I don't see that much challenge as we move forward.
Srinivas Pallia : And Kawaljeet, we want to develop talent internally, right, and also have a strong line of leaders in our pipeline. And that's another focus area for us going forward.
Kawaljeet Saluja : The final question that I have for you Srini is that I remember some time in 2020, you had a magic wand. You actually struck fairly nice lucrative two mega dies in the retail vertical. But the organization has been silent on mega deals since, has the muscle memory weakened on the mega deals or good news is around the corner?
Srinivas Pallia : I think the way we had structured ourselves in terms of going up to the large deals and mega deals is to try and focus on not only on how you pursue a deal, but how do you originate a deal, how do you shape the deal, an entire process around that. So that becomes very critical for us. So in fact, what I would like to do is for the sales team on the ground across the markets and across the industries try and create a proactive pipeline because that becomes very critical for us because you work along with the client and the partner in a deal pursuit, right? The probability of winning is also much higher. So we -- what we want to do, what I want the team to do is stay focused on those proactive deals as we move forward. Also, if you look at earlier, we had mentioned in Q2 that we had one, two close to $0.5 billion deals in two of our large accounts. And one of the two accounts, Kawaljeet now has gone on to become one of the largest customers -- largest client for Wipro. So we've seen that momentum also happen.
Kawaljeet Saluja :
’:
Srinivas Pallia : So Kawaljeet, I think keeping the Capco brand as it is a strategic business. But what is more important, Kawaljeet is I look at Capco or any of our consulting business domain and consulting teams to be the tip of the iceberg for us, right? So when you go in from a client, you go in as one Wipro in the context of how we are going to solution it. But what's very important is the kind of CXO connects Capco has, I think that's something that the rest of the Wipro organization can actually leverage. So I would say that we're going to focus on a joint positioning and building disciplined sales campaign that can deliver the best for the Wipro in that particular segment.
Operator: We have a next question from the line of Gaurav Rateria from Morgan Stanley.
Gaurav Rateria : Many congratulations Srini on your new role. My first question is again with respect to your success in mega deals. When you look at the overall internal -- your mega deal participation, your win rates, where do you think the work in progress is there? Where do you think you need to make some changes? Is it more about your participation? And/or is it more about your win rates? Just trying to understand that what needs to be fixed to be able to participate more in the mega deals?
Srinivas Pallia : Gaurav, if you could just repeat the question. I just lost you for a minute, sorry.
Gaurav Rateria : Yes. My question is with respect to your mega deal success. Just trying to understand, is it -- is this require more fixing on the participation side, proactively creating pipeline side? Or is it more about the win rates, why you participate but the win rates are not so good? Just trying to understand what requires to be changed to be able to more consistently deliver some of the mega deals?
Srinivas Pallia : I got the question. I think absolutely, there are two parts to it. What is important for us is to be very proactive within the market, whether it's our clients or partners or the influencers and actually sourcing these deals and then kind of shaping the deals, which are very specific to those industries, the way you solution it and the way the business objectives of the clients are met also becomes very critical. So it's both -- it's a combination of both, which actually will lead us to a better win ratio going forward. And I've seen the experiences wherever we have worked very well with the clients and ahead of the curve. I think our probability of winning has gone up. What we want to do is become a lot more consistent, a lot more repetitive across our markets and across our industries.
Gaurav Rateria : My second question is with respect to Capco. It will be great to understand what kind of deals are coming in terms of nature of the work? And is it more broad-based across large number of clients? Is it more concentrated with a few clients? Is it just a tip of the spear engagement that is coming right now? Is it also involving some amount of downstream work? Probably that will help us in getting some comfort in how sustainable this trend that you are seeing is.
Srinivas Pallia : Absolutely, Gaurav. I think there are two ways -- two opportunity sets that we have with Capco. One is Capco going on its own, doing consulting work for them, which is a lot more a different buyer within that particular organization. But what we are focused on is the synergy deals with the Capco being the tip of the spear and helping us in the downstream because that is where we can actually win a lot more large deals and mega deals. Now using Capco, we have an advantage in terms of shaping the deal because you can be a lot more focused in the context of the customer process areas and the customer's business problem that we are trying to solve and then put the downstream revenue, which could be either a cost transformation or it could be a business transformation, Gaurav.
Gaurav Rateria : And the recent success that you've seen in the last two quarters, is it more, again, on the synergy deals that you have seen things coming back? Or is it more independent work of Capco that has been seeing some success?
Aparna Iyer : It's both Gaurav. Certainly, it is secular. We are seeing a secular uptick across the service offerings of Capco across geographies and it has led, it's more broad-based. Also, we are winning good synergy deals and the collaboration has only increased in the last four quarters given the macroeconomic environment and the fact that the deals were harder to come by. We've certainly built a muscle on synergy also a lot better. Both are coming into play.
Gaurav Rateria : Last question from me, Aparna, how to look at the conversion of net income into operating cash flow on a sustainable basis? I know this has been a fantastic year for Wipro. But going forward, more on a sustainable basis, what should be the right way to look at it?
Aparna Iyer : If you look at just our historical performance, we've always been between what, like, 85% to 110% of free cash flow is what we generate as a percentage of net income. And that's a good number to target. Yes, I think FY’24 was a very good year for us in terms of free cash flow generation and we'll continue to work on all fronts.
Operator: We have a next question from the line of Kumar Rakesh from BNP Paribas.
Kumar Rakesh : My first question was Srini, you talked about large deal acceleration. While I understand that mega deals haven't been around a lot but large deals performance have been quite fairly good over the last two years. From what used to be about $600 million on an average year years back, now you have been consistently doing about $1.1 billion of quarterly large deals, but that has not been reflecting into stronger growth. So when you talk about that you plan to work on large deal acceleration. What does that mean? And how should that translate into growth?
Srinivas Pallia : So a couple of things. One is, when I say large deal acceleration Kumar, the idea here is that, obviously, you've got to have a lot more deals in the pipeline. So there, again, I feel -- my ask is that we have to be proactive on those large deals. What that means is can you shape the deal even before the deal comes out, right? And this you can obviously do with many of your large clients where you have a very strong relationships. So that's number one. So second is the size of the deal and the frequency of the deals, if we can slightly increase that can give us momentum going forward. Now in terms of converting the large deal dealers TCVs to revenue, maybe I'll ask Aparna to make a comment.
Aparna Iyer : So Rakesh, this is, again, something that I think not just us, but it's just the nature of the market that the conversion is lower. It is because while we continue to win these deals and replenish the bucket. There is a discretionary spend environment, which is weighing on our revenue performance, right? So we are continuing to see ramp downs that are happening where existing projects finish but are not getting replenished at the same pace. So that is again weighing down in terms of the conversion from bookings to revenue. And I think that's -- I think the major aspect. Also, what has happened is while the momentum is much stronger on the large deals and the larger deals, the smaller deals buoyancy has certainly slowed down. And at least in the last four quarters, we've seen that. So that -- those are two things that are weighing on the revenues.
Kumar Rakesh : My second question was around the number of clients less than 1 million. So for the last few quarters, we have been pruning or smaller accounts -- smaller clients. But then in this quarter on a sequential basis it has increased. So is this one-off or there's a change in strategy now how we are looking at the smaller accounts?
Aparna Iyer : There's no change in strategy, Rakesh. I think we continue to -- our strategy has only got more firm. We are looking for profitable growth. And we will continue to pivot ourselves in a few geographies where we are doing. We're not in high-value transformative work that in new age opportunities that we want to be. We would like to pivot our service offerings. And in that context, we did take actions, especially in APMEA, as a case in point, I spoke about it. So what you're seeing quarter-on-quarter can we manage it, there will be volatility that will play out quarter-on-quarter. But I can assure you there's no fundamental shift in strategy. We will continue to focus on profitable growth and mine deeper.
Srinivas Pallia : So, Rakesh, just add two more points to that. One is I think it's not just the number of accounts but the quality of accounts we have, which is very important for us going forward. Second is if you look at our -- we have continued to add accounts in 100 -- greater than $100 million bucket. In fact, we added three accounts in that particular bracket. So that's another one, we want to keep tracking and keep moving.
Operator: We have a next question from the line of Yogesh Aggarwal from HSBC Securities and Capital Markets.
Yogesh Aggarwal : Srini, first of all, congratulations on your promotion. Just a couple of questions I have. Firstly, on the structure a few years back under theory, Wipro moved to the geographic structure, which was a bit of a unique setup compared to other companies. So are you looking to go back to the vertical structure? Just any thoughts on that? And then I have a follow-up, please.
Srinivas Pallia : I think the four strategic market units that we have and the four GBLs structure that we have, it will continue. No plans to make any changes, Yogesh.
Yogesh Aggarwal : And the second thing, Srini, I mean, your headcount continues to decline. It's down like 10% and 87% utilization. So just sometimes get a feeling, are you guys even looking at any kind of an imminent pickup in growth because this is quite a bit of tightening -- operational tightening happening?
Saurabh Govil : So Yogesh, Saurabh here. Headcount has come down. It was driven by operational efficiency. As you see our utilization has been all-time high in Q4. We have the supply side, as demand picks up, we'll be able to quickly ramp up and we are comfortable on that part. So I don't see that as a challenge. We just have learned I think we and the industry that all over hired at the point of time that post COVID. So, we just want to be more cautious, more judicious and as we move forward. But as demand environment improves, we don't see a challenge.
Operator: The next question is from the line of Sudheer Guntupalli from Kotak Mahindra AMC.
Sudheer Guntupalli: Congrats and all the best on your new innings. Given that the organization had already gone through sweeping changes over the previous two to three years, certain change fatigue could have set inside the company and employees. So do you see that change fatigue as a bottleneck to be able to make any incremental changes you need and turn around the growth path or maybe delay that growth turnaround?
Srinivas Pallia : [Sunil] the advantage I have is I've been through this transformation journey, right, in the last four years. Clearly, in my mind, we don't need a structural change the four SMUs and the four GBLs is good to go. What we need is to change our strategic priorities, which meets the market dynamics, which meets the changing technology landscape. And what we need is bringing a lot more execution rigor in the markets and in the sectors and in specific accounts that we call both the large accounts of us and also the future large accounts. I think if we can execute to that bringing in the best of our solutions with the consulting led and AI infused, I think we can differentiate and make a difference to our clients.
Sudheer Guntupalli: Second question to Aparna on Capco. If the growth here is so strong, one would have anticipated that the company level margin expansion to be slightly higher given this is an on-site heavy and fixed cost heavy business. So should we assume that second operating leverage will probably come with some amount of a lag?
Aparna Iyer : Yes. So Sudheer the Capco, like I said had also the benefit of a seasonally furlough quarter of Q3. So the bounce back of Q4, the growth rate that we talking about also has -- was aided by that. There is a base effect to that. Two, yes, as the stability returns, we will see operating leverage. For now, we are just waiting. This is not something we've shared with you for two quarters. Given the interest in Capco's performance, we've shared it. We are also encouraged, we are watching. It's too early to say whether this is a very definitive deterministic trend. We will watch for how they perform over the next few quarters. And certainly, the operating leverage should play out with a lag.
Operator: The next question is from the line of Sandeep Shah from Equirus Securities.
Sandeep Shah : Srini congratulations and all the best. My question is related to one of the questions asked by previous participant. Most of your earlier colleagues in our CEO role has also highlighted and focused in terms of a rigor on execution. But somewhere that has not worked and improved the organic growth rates of Wipro consistently. So what according to you in your past three decades experience in Wipro is going wrong in the execution rigor is it delivery? Is it sales? Is it client mining or is it hunting? And where you believe weakness is higher and how do you plan to rectify that?
Srinivas Pallia : What I'm doing right now as we speak is based on my own experiences over the period of years. Second, I'm looking at all the areas across the markets, what's working and what's not working, whether it's to do with the large deals, whether it's to do with large accounts and account growth, whether to do with the solutions and approach to each of the sectors. So what I'm doing, Sandeep is taking a talk of all that, while I called out the priorities, right, we got to bring the strategic priorities that we call out to an execution rigor. And you're right, once you have the right strategy, right set of accounts, right set of sectors that you really want to focus on, then you have to be staying there for time to because some of these deals that we have won, it does take time. So what I want to do is have the staying power as well to continue to execute our strategy and not change it in midway. So there we have to bring in a lot more consistency and with perseverance, if you will, to win those deals and grow those accounts.
Sandeep Shah : And if you want to define a performance KPI of your targets and strategy execution, what it could be and what could be the time line for the same?
Srinivas Pallia : So I don't think I have a time line on Sandeep. This is my second week in my new job. Let me go back and see what it -- what's going on and what we need to do. But what I'm very clear is what are the priorities that we want to execute. And I think that's where I'm going to stay focused on.
Sandeep Shah : And second, in terms of capital allocation, I think Wipro has done a fantastic job in terms of free cash flow generation. The outgoing CEO has been addressing in terms of bold M&A, where capital allocation has been also fairly contributed towards the sizable M&A. Do you believe in that strategy? Because in the press conference, you also said Wipro will continue to remain gold on the M&A. So when you say bold on the M&A, is it bold in terms of acquiring capability, which may not be big in terms of size. Or you still believe we have a headroom and appetite to go for M&A similar to Capco as well as Rizing?
Aparna Iyer : I think from an M&A standpoint, I'll answer and then I'll let Srini way in. I think we will continue to remain focused. We will be selective in the M&A that we do. We will invest in areas of newer technologies. We will invest in areas that give us access to markets, access to clients. The strategy on M&A and where we will play and how selective we will be remained. On the size of the M&A, it's too -- we don't -- we're not disclosing any one way. We've said that we prefer tuck-ins because in some sense, it helps us stabilize in an environment like this. But we will remain flexible on that and we will see what works best for our strategy. On capital allocation, there's no change to policy, Sandeep. We are committed to returning cash of 45% to 55% of our net income over the cumulative three year period. If you want to add anything on M&A, Srini?
Srinivas Pallia : I think you covered it.
Aparna Iyer : Yes. Go ahead, Sandeep.
Sandeep Shah : And the last question, Aparna for you in terms of margins. I think we have done well in terms of a difficult environment. But if I look at utilization, if I look at offshore revenue mix, fixed price contribution, most of them has peaked out. So is it fair to assume now further considerable margin improvement is largely dependent on growth picking up, if it doesn't, then in that scenario, 16% flattish kind of environment is sustained going forward.
Aparna Iyer: So what we've shared for now is that we are committed to remaining in a narrow band, the range bound between what we have delivered in the last few quarters, Sandeep. You're right that utilization has improved considerably. Our offshoring has gone up. All of that has resulted in our margin expansion. We are happy and pleased about that. We need to sustain that as we go along. There are enough and more levers for us to flex as we go forward, rotation, internal fulfillment. There is a lot more that we can do on optimizing perhaps G&A and especially given that there are synergies to be driven as we integrate our acquired entities deeper, right? So, some of those levers will play out for us. FPP productivity is a very big lever. We are all very focused on it and the potential of how we can view in AI. There is plenty of opportunity and there is plenty of levers for us to work on. Those are my comments, Sandeep.
Operator: Ladies and gentlemen, that was the last question for today. I would now like to hand the conference back to Mr. Dipak Bohra for closing comments. Over to you, sir.
Dipak Bohra: Thank you, Yashashri. Thank you all for joining the call. In case we could not take any questions due to time constraints, please feel free to reach out to the Investor Relations team. Thank you so much again and have a nice evening.
Operator: Thank you, members of the management team. On behalf of Wipro Limited that concludes this conference. Thank you for joining us and you may now disconnect your lines.